Annica Bresky: Good afternoon, everyone, and welcome to this session with us at Stora Enso. As you know, we have delivered an excellent quarter for Q1 this year. And as a company, our purpose is to do good for people and the planet by replacing nonrenewable materials with renewable products. And we can see that had a very strong demand for our renewable products this quarter. We have delivered a strong performance. Actually, one of the best performances we have had result-wise in Stora Enso’s history, an all-time high operational EBIT margin at 18%, and we can see a strong commercial momentum for our products across all of our segments. We have been able to mitigate higher variable costs with increasing prices and working with our product mix and market mix and also have been able to handle logistical challenges that are still quite evident in our surroundings. We’ve also taken the decision to streamline our business portfolio by divesting our paper business. This will enable us increased focus on our growth agenda. We deliver an all-time high dividend of €0.55 per share, which is, of course, a testimony of the strength of our business and the shareholder value we create. So all in all, I’m really pleased with what we have been able to deliver in a quite challenging environment. Our sales continue growing consecutively. We increased by 23% year-on-year, and excluding our Paper business by 30%. Also, our operational EBIT was on a very high level of €503 million, a 53% improvement year-on-year and our – we reached above our target on return on capital employed, excluding our forest assets on a level of almost 24%, high above our long-term target of 13%. So this is the result of strong underlying demand across all our segments and very good proactive mitigation actions from our people and teams. A few words about the divestment of our paper assets that we communicated a couple of weeks ago. As you are all aware, Paper business is not a strategic growth area for us. Today, it represents 15% of our total sales. And we have, over the years, come down from a level of about 70% that we used to have in 2006. So our plan is now to increase our focus on our growth agenda and release resources for that, that are freed up through this divestment of four out of five paper production sites. One paper site in Langerbrugge in Belgium will be retained for a potential future conversion. And we see that we have made a strong interest on the market for our Paper assets. They are competitive and we have been able to turn around the retained Paper business the last quarters. And we look for responsible owners that will be able to provide a sustainable future for the site and for the people there. And we are confident that we will be able to go through with this divestment. We have not set a timeframe to do this, rather look for the best possible owners for the asset. And this sales process has no immediate effect on our paper operations. We will continue to produce paper and continue to serve the respective customers that we have in all our segments. But it is a good timing to do this. The supply-demand situation on the market is favorable. So from a timing perspective, it is the right time to proceed. We also take steps in furthering our growth strategy by investing in renewable packaging. And as you are aware, we have an ongoing feasibility study to explore the conversion of the second production line in Oulu site. Here, we are targeting customer segments within premium food packaging, such as chilled food, beverages, pharma and cosmetics. The potential sales after the conversion from that line is €800 million approximately, and it is a capacity of 750,000 tons of folding boxboard and uncoated unbleached kraft. So this will be a mega site combined with the first production line and it’s one of the most competitive sites in Europe in these segments. We aim to conclude for a decision during the second half of this year, and the target if we have a positive decision in this direction, a production start in the first half of 2025. We have an estimated CapEx of around €900 million to €1 million to be spent within the years of 2023 to 2026. We’re also proceeding with our Lignode business development, a novel fossil-free anode material for a renewable battery market. This has a business potential of €1 billion for a European local supply of a very strategic material enabling the growth in the battery segment and the electrification of not only the automotive industry, but also in energy storage systems and handheld tools. Strong interest from the discussions that we’ve had with potential customers and partners, there is a deep understanding of the benefits of the technology that we can provide. We have sent Lignode samples for testing at customer sites, both the producers and others. And in our own kind of actions as a company, we have initiated a feasibility study for the first industrial-scale demo plant in Sunila during the quarter, and we aim to take a decision during the end of the year of scaling this up. We’ve also initiated the first step in enabling extraction of lignin from Skutskär mill in Sweden. It’s a pre-visibility study also to be completed during this year. And this enables the second step in scaling up of lignin. But as you are all aware, we live in quite turbulent times. We see that many companies that we are discussing with, they have had in the short term to turn their attention to handling some of the challenges with the Ukraine war and logistical challenges. So in our discussions with them, we see a slight delay in the partnership forming, but we are confident that once the situation comes back and the companies that we’re discussing with, they will get back on track in the further steps of the new generations of batteries. We have also announced that we are stopping all imports and exports trades with Russia during this quarter and ceased operations in our sawmills and packaging solutions sites. And last – a few weeks ago, we also announced that we are divesting our two sawmills in Russia and the Russian forest operation to the local management. We do not see Russia as a business partner for the future. It’s not a growth market for us. So by doing this divestment in a responsible way to the local management, we can ensure the jobs for our Russian employees to be sustained and at the same time, reduce the risk of our own company and the rest of our people. We employ around 1,100 people in Russia, and their safety, of course, has been a key priority during the whole process. Our Russian business has no material impact on our group sales. It’s 3% in total and no material impact on our results. We’ve also, through proactive actions early on decided to stop wood imports from Russia to our operations in Finland. This shows that, we, through our own forest ownership in Finland and in Sweden, we have been able to flexible in our sourcing and been able to find other sources of wood for our operations. So the impact of this has not been material. We have had to change product mix at some of our sites. It’s been mainly due to that the imports from Russia has been birch, but the total Russian wood only represents 10% of our wood supply needs in Finland in 2021. So this transition, even though it was cumbersome in the beginning, has had no material impact, and we’ve been able to mitigate additional costs. So looking also at energy and the impact of increasing energy on our business, we see that we are very resilient to inflation in this area. Energy costs represent 7% of our total costs in 2021. We are well hedged for this year, 80% and we have a very high self-sufficiency, 70% in fuels and 72% in electricity. After the divestment of Paper, we will be 95% self-sufficient in electricity and about 80% total energy self-sufficient. So the divestment of Paper also helps the rest of the business to stay resilient to energy price fluctuation. And it also gives us a competitive advantage to Central European operations that are more dependent on gas. For us, gas is only 4% of the total fuel mix consumption. And now if we look a little bit how we build up the result for this quarter, we can see that increased sales prices and that we’ve actively worked with our product and market mix gives the biggest improvement compared to previous – to Q1 in 2021. Also, improvements in volume have supported the results, whilst we have been able to mitigate both increased fiber costs and other variable and fixed cost impact. And as you can see here on this slide, our energy cost amounts to €64 million and logistics to €45 million impact – negative impact and chemicals and fillers are about €54 million. Being proactive with pushing through price increases and mitigating inflation has been possible because of a very strong demand on the market for our products and good customer relationships. And with that, I hand over to you, Seppo, to take us through each business and give us a little bit more flavor on the results.
Seppo Parvi: Thank you, Annica. And I will start with our long-term financial targets where we stand here. And as you can see, it’s very much on green now during this quarter. Looking at the group level, long-term final targets if you look at the dividend, we increased dividend significantly year-on-year, paid €0.55 per share recently to our shareholders. Our top line growth, clearly above the targeted 5% growth at 29% during the first quarter this year. And also our debt metrics are on improving trend and clearly below the target levels. Net debt to operational EBITDA at 1.1 and net debt to equity at 24%. Our return on capital employed, excluding our Forest, like Annica already mentioned at almost 24% level compared to targeted level of 13%. Then moving to divisions, you can clearly see that most of the divisions are about long-term financial target levels when it comes to return on capital. Packaging materials at 24, Packaging Solutions below the targeted level, and that is mainly due to Russian situation of business as well as the new businesses that we have been investing in and continue to invest in to build the future businesses there. Biomaterials at 18 and Wood Products at an excellent level of 68% almost and Forest 3.6% also above the targeted level. Paper cash flow remains negative, partly and very much affected by the restructuring costs, cash costs that we are paying now for the Veitsiluoto and Kvarnsveden mill closures during the past year. Target will be 7% and we are confident now that the business is turning around and we start to get rid of the restructuring costs and we can reach the targeted 7% level. Then moving to divisions, and I started packaging materials, where we now reported all-time high performance that was driven by higher prices and added capacity. Sales was up 31% year-on-year, and this has been driven by higher port prices and higher deliveries, like mentioned, and very successful ramp-up of our Oulu site since the beginning of 2021 has had a very much positive effect on the result. Then operational EBIT, that was up 55% year-on-year, driven by improved and good performance on the containerboard business. We had higher board volumes and prices and they more than offset higher variable costs and other input cost pressures that we have been facing. And return on capital at 24%, like mentioned already. Then moving to Packaging Solutions, where our profitability has been negatively impacted by the Russian operations. However, sales were up 20% year-on-year, record high level for the first quarter, but there was negative impact from the Russian operations that was compensated by increasing box prices and growth in Innovation & Services. Operational EBIT was down €3 million year-on-year and that is, like I mentioned, mainly due to Russian operations combined with cost inflation and increased investments to accelerate growth in the new businesses that we are creating at the moment and developed. Operational return on capital at 1.3%. Then moving to Biomaterials where we had record high first quarter, mainly driven by higher pulp prices. Sales were up 24% year-on-year, and we can see higher pulp prices on the main markets, both in Europe and China. That has also led to higher operational EBIT, that was up 81% year-on-year, and that was a record high first quarter in the history. And higher sales prices more than offset increased costs and lower volumes. It’s worth to notice that in the Biomaterials division, we have Montes del Plata, a pulp mill in maintenance break during the first quarter this year. There were no maintenance stops during the first quarter last year. An operative return on capital at 18.2% in Biomaterials division. Wood Products continues good performance, and we had another record high first quarter driven by higher prices and deliveries. Sales were up 50% year-on-year, and there were higher prices across the division and also higher deliveries that were supported by solid demand on the markets. Operational EBIT up 125% year-on-year, and high profitability continued; thanks to higher prices, higher selling prices, and they more than offset the higher input costs. Our return on capital at 67.8%. Forest, Territory profitability level continues to imply higher prices and tight supply situation. Sales were up 8% year-on-year, driven by higher wood prices as well as increased demand for pulp wood and solos. Operational EBIT continued at a stable level. There was good operational performance and it is worth to note is that comparable period last year included €34 million gain from land sales – land area sales in Sweden, which we did not have this year. Operational return on capital at 3.6%. Then looking at the paper division, where financial turnaround is becoming more and more visible and they delivered highest quarterly operational EBITDA percentage since 2009. Sales were down 3% year-on-year due to closures of Veitsiluoto and Kvarnsveden paper sites during the third quarter 2021. Sales for the retained businesses increased by 50%, reflecting the good market conditions and performance of the division. Operational EBIT was up 207% year-on-year, and there, we can see higher prices that were partly offset by higher variable costs. Cash flow to sales after investments was negative by 3%, but worth to notice that retained businesses have already turned positive when it comes to cash flow and that stands at 4.5% compared to target of 7% level. Then moving back to you Annica on annual outlook and guidance.
Annica Bresky: Thank you, Seppo. And when we look at the surrounding world, we can see that there are persisting uncertainties in terms of lingering effects of the pandemic, Russian invasion in Ukraine have increased the risks across the world for changes in the general macroeconomic environment. We reiterate our annual outlook and guidance as unchanged. If we look at our own business, we feel very confident with our guidance to be approximately in line with the full year operational EBIT result of last year, €1.528 billion. I’m quite positive in terms of the demand that we see in our products for all our end users. We do not see any weakening. And the markets where we have sales are moving in the right direction. We have been able to mitigate inflationary impacts on our business and have good cost control. And our operating model with the centralized decision-making that we have changed has resulted in good agility in taking into account the changes in surrounding environment. Demand continues to be strong in packaging, in Biomaterials and also Wood Products and our order books are full. So all in all, we are very confident with our outlook as it stands right now. So to summarize, I’m very happy and proud of what we have been able to deliver. It is an excellent performance in quite a challenging and turbulent environment. We see a continued accelerated commercial momentum and strong demand for our product, the positive outlook. Our company is strong and resilient with good liquidity, strong cash flow and reduced net debt to operational EBITDA, a good position to be in, in uncertain times. We have been successful through our own actions to mitigate higher variable costs, and I’m very pleased to how well positioned we are to benefit from accelerated growth in renewable materials. So all in all, we have a strong quarter behind us, and we will continue to work for the next quarter in the same direction. Thank you very much. And now I open for Q&A.
Operator: Thank you. [Operator Instructions] The first question we’ve received is from Lars Kjellberg, Crédit Suisse. Your line is now open. Please go ahead.
Lars Kjellberg: Thank you. Annica, I’ll just start with the guidance. Of course, you captured one-third of that full year guidance in Q1, and the statement reads quite positive into Q2, I mean I understand, of course, there’s a huge amount of uncertainties. But is there any particular element of inflation or any fears that you’re seeing that would take away the thought of sort of somewhat up guidance considering the current circumstances, long order books and no sign of weaker demand? And the second question, very specific. Could you just elaborate a bit on the Packaging Solutions business in terms of growth, taking into account the Russian impact because you were down sort of 10%, 11%. I’m sure that the rest of it looked quite different. So if you can provide some color on that, please? Thank you.
Annica Bresky: Yes. So in terms of the guidance, you are totally right. We’re early on in the year. And what would change kind of for our own environment is if there is a general huge macroeconomic downturn for the whole world due to increased risks with Ukraine war or anything like that. I don’t see anything in particular in our own business that we cannot mitigate. But we need to be cautious and have a little bit better visibility for second half in order to have a better view. But I am, as I said, very confident about the things that we can influence in our own companies such as energy prices and other inflationary kind of cost pressures that we see and we have been able to prove that this quarter, and I’m confident for quarter two as well. In terms of Packaging Solutions, the underlying business in corrugated packaging is strong. The demand is there, even if we have seen a little bit of decline in e-commerce compared to very high levels during the pandemic, it’s still a demand growth going forward. But of course, we have three sites in Russia under Packaging Solutions, and we have been making continuously investments in new businesses there that, of course, with the Russian effect, it influences the result of Packaging Solutions. But the business as such is very strong. And if we also see containerboard demand that has been very, very strong. So, we’re pushing the pricing through in the corrugated side for Packaging Solutions. It takes some time before it drops down bottom line.
Seppo Parvi: And especially the new business, it’s, of course, when you develop new business, you have upfront costs that we then expect to pay back going forward in the future.
Lars Kjellberg: Thank you.
Operator: The next question comes from Justin Jordan, BNP Exane. Your line is open. Please go ahead.
Justin Jordan: Thank you and good afternoon everyone. I’ve got – answer for these two divisional questions. Firstly, on Wood Products. You talked in the statement about tightness on wood markets due to sanctioned supply as the result of the war in Ukraine. Are you now expecting higher wood prices for that division in 2022 and clearly, consensus what was probably expecting lower wood prices as we go through 2022. So is that a change vis-à-vis what you might have expected three months ago? And then secondly, I’m sorry to sort of labor the point, but just going back to Packaging Materials, where clearly you have a record – there’s no other way of saying it’s a fantastic performance in Q1 and well done to everyone involved in delivering that strong performance. Sadly clearly, we’re in uncertain [ph] times, as you’ve alluded to yourself. So I’m sorry to ask this, but have you seen any weakness or softness in order intake or conversations with customers for orders for May or June within Packaging Materials specifically? Thank you.
Annica Bresky: So I don’t comment on future pricing for Wood Products. But what I can comment upon is the order pipeline, which is very, very strong. It continues even into Q3, it’s specifically strong in the Classic Sawn, but also building solutions have a very solid demand. In overseas, especially, we see that the strong demand continues and we are able to deliver to our customers there. So I do not see any challenges from a demand supply situation to keep mitigating for cost inflation pressures in Wood Products. And if we then go in Packaging Materials, we have had solid performance in consumer board and containerboard, both. Mostly, containerboard has been seeing a very strong development in pricing during this quarter and the, we are fully booked for the year. So I don’t see any demand weakening for packaging materials. It’s also very pleasing to see how well the teams have performed in Oulu. The ramp-up has gone better than we have expected. The quality is there, the volumes are improving and we have additional sales from that. So all in all, I expect packaging materials to continue to be strong in quarter two and the rest of the year.
Seppo Parvi: In the Wood Products, as you know, the market is pretty tight now when the Russian volumes are out from the Western Europe...
Annica Bresky: Russian volumes represent about 10% of the total – of the exports of Russia into the European market. We do not expect these volumes to come back and due to logistical restraints. And sawn goods, it is a local – a regional product. It doesn’t travel all too well. So I think that creates a very tight situation in Europe going forward.
Unidentified Analyst: Thanks for your time.
Operator: The next question comes from Robin Santavirta, Carnegie. Your line is now open. Please go ahead.
Robin Santavirta: Thank you very much. Now in the Biomaterials division, you state that lack of birch had an impact on production and deliveries. I think your market pulp deliveries were down some 10% year-on-year. Was all of that due to lack of birch? What is the outlook when it comes to pulpwood prices in your markets and for you and pulpwood availability as the Russian border is now closed? So that’s the first question. And the other one is related to Lignode. You state that there’s been some delays in the timetable or schedule. What is that related to? It seems as you’re proceeding with the scale-up of industrial production apparently in Sunila and Skutskär, but is it then with partnerships? And do you really need partners in order to scale up production industrially?
Annica Bresky: Very good questions as all of your questions are always. If we look at market pulp and we had to do changes in product mix in the Finnish pulp mills, especially Enocell and Sunila to direct the birch to the sites of Imatra, for instance. And in that case, it did have effect on the output from those mills. But now we are over that period, and we are able to deliver pulp on the market in normal. Then we had MDP that has had an annual shutdown this quarter compared to the previous quarter, and that also explains the reduced volumes from Biomaterials.
Seppo Parvi: That’s by the way a big part of the reduction.
Annica Bresky: Yes, it is. But specifically on the birch situation. So with the change of product mix, we are no longer dependent on Russian birch. We can manage it with our supplies that we have from our forest holdings, and this really shows why our ownership now in Tornator and Swedish forest is a good thing, because we could very quickly adapt to the situation and move forward. If we look at demand on market pulp, we see a strong demand for a fluff. So this benefits our Skutskär mill. Also, hardwood has a very strong demand for quarter two. So the inventory levels are on the five year average globally, if you look at the market as such. So I do not expect any impact on the demand short term. There continues to be a tight supply of pulp for the next quarter. On Lignode, you’re totally right that we are proceeding with the investments of scaling up the production. So that is in our hands. Why we need a partnership is because we can do it even faster if we have a partner that can work with us or a couple of partners that can work with commercialization and testing and scaling up the commercial part of the investment in Lignode. And the reason why we write that there have been certain delays is simply because we are discussing with 50 different partners, and all of them have, of course, had different challenges during short term now in terms of how the Russian war has impacted or having to handle other issues in their supply chain and so on. So therefore, these partnership discussions have been moving a little bit slower than we would have expected. So if we want to accelerate the scaling up a partner or a couple of partners is good to have, and that’s why we will keep working on that. But short term, there has been a slight delay in moving forward on that stream, but as I said, both Skutskär and Sunila are moving according to plan.
Robin Santavirta: Understand. Thank you very much.
Operator: The next question comes from Johannes Grunselius, DNB. Your line is now open. Please go ahead.
Johannes Grunselius: Yes, hello it’s Johannes here. I have a question on your Wood Products business. If you can give some color on the share, what is Classic Sawn goods at the moment and the CLT product and the other more – building module products? How this looks at the moment. If you can give some reference to previous quarters, please? I was also wondering if you are holding down the building module products such as CLT because of the sawn goods – the classic market is – seems to be unbelievable strong at the moment? That’s my first question.
Annica Bresky: Yes. If we look at the share of Building Solutions, it’s 30% of the total sales in Wood Products. What is good with Building Solutions and sawn – Classic Sawn in combination is that one business is less volatile than the other. So Building Solutions is normally higher margins, more stable and then, Classic Sawn is, as you might know, very volatile and so on, shorter-term sales. So we want to have both these businesses because it benefits the total division result in good and in bad times. Building Solutions is catching up. The projects there are a little bit more long term and contracts that are more long compared to the sawn goods. But all in all, it is a strong demand on both the businesses. So we have not been scaling up down Building Solutions to be opportunistic and just run sawn goods. We want to have the long-term customer relationships and have the projects because that will benefit us the day that the market turns.
Johannes Grunselius: Okay. That’s helpful. If you look, let’s say, two, three years out or even plus five years out, what do you think about this year that is currently 30-70%?
Annica Bresky: Now preferably, we see there is a very strong demand on both the areas. So I would like to – yes. They are not dependent on each other. We can grow both in Classics sawn and we can grow in Building Solutions.
Johannes Grunselius: Okay. Then a little detail, and that’s the planned maintenance you had on the pulp business Montes del Plata. Could you give a number there, please or a rough indication on the profit impact that had? And also, did I saw it right, you don’t have any maintenance in – bigger maintenance in the second quarter, right?
Annica Bresky: We do have maintenance every quarter actually. And we do not give specific mill-by-mill impact, the total maintenance impact for the first quarter was € 107 million, of which Montes del Plata has the biggest chunk of that, but there is always kind of smaller maintenance going on. And then for quarter two, the estimate is €113 million. And there, we have Beihai, Ostroleka, Enocell and Langerbrugge as the mills that have shut.
Seppo Parvi: Maybe you already catch the comment we had in Q1 last year, there was no maintenance stop in Biomaterials compared to having Montes del Plata down this year.
Annica Bresky: Yes. Q1 last year, we had maintenance shut in Nymölla, for instance and other pulp mill, in Paper division.
Johannes Grunselius: Then the final question for me. I understand this might be difficult to answer. I don’t expect any precise answer, but do you sense that the value of your paper business has increased dramatically here given the profit uplift for your classic paper business and the rest of the industry?
Annica Bresky: Well, of course, we’ve worked to turn around the assets and have good paper results. So we’ve always run a strong cash flow from our Paper business, and we know the teams can have a very competitive position compared to other paper sites there. That’s why we also think it’s a good timing now to divest to someone that has paper at their core business and continue to develop the site. So we have seen good interest, and I hope we can move forward with the divestment going forward.
Johannes Grunselius: Okay, thanks a lot for your answers.
Annica Bresky: Thanks.
Operator: The next question is from Henri Parkkinen, OP. Your line is now open. Please go ahead.
Henri Parkkinen: Yes. Hi, good afternoon everyone. I have one question regarding your energy. Energy consumption, you mentioned that the gas represents some 4% of your total energy use. I wonder if you can tell us what kind of contract you have in gas. And the second part of the question is that if for some possible reason, you are not able to get gas or these Continental Europe’s mills. What kind of alternative plans you have? So are you able to compensate that on short term with some other fuel? Thank you.
Annica Bresky: The easy answer to your second question is, yes, of course, we work to compensate. For gas, we are using LNG gas imported from U.S., and there is good supply for that. There are also other options that we can use, both the crude oil, for instance, if we have to. And long term, we can also rebuild the boilers for our assets. So I don’t see this as a big topic for us, and we continue to work with this issue.
Seppo Parvi: And we started quite early to work on mitigation plans how to tackle the issue with the gas availability and have managed quite well. No issues so far, and we expect a bigger management going forward as well.
Annica Bresky: And on our Continental sites, if we look at it, we only have Maxau that is gas dependent as such.
Henri Parkkinen: Okay, thank you very helpful. Thank you.
Operator: The next question comes from Mikael Doepel, UBS. Your line is open. Please go ahead.
Mikael Doepel: Thank you. Two questions from me. First of all, coming back to the divestible paper assets. I was wondering, you mentioned that you’re going to keep the Langerbrugge Mill for a potential future conversion. But I was wondering in terms of the divestible asset, if there are any conversion opportunities there? And the follow-up on that would be that would you also consider some sort of a joint venture solution or a spin-off or just looking at an outright sales? My second question comes back to Lignode. You mentioned the slight delay in the time schedule. Could you give a bit more color on that? I think you previously talked about 2025 to reach the €1 billion revenue. What are you looking at now with the one and two year postponement? Or how do you see that currently? And also a follow-up there in terms of end users, where do you see the best opportunities as of now is within the automotive or perhaps more into energy storage for something else? Thank you.
Annica Bresky: If we start with the first question, that was the sale of papers. We see a direct sales as the best option. We do not see any JV or spinoff option to be our alternatives. And as I said, we have received very good interest from other partners that would like to take over either the whole division as such or mill by mill specific sales. So we are looking at both of these options. And then if we think about how our paper business is competitive on the market. Remind me of the second question you had on paper, please.
Mikael Doepel: Yes, yes. Of course. I was just wondering about the – if you see any conversion opportunity in the assets that you’re divesting?
Annica Bresky: Yes, there are conversion opportunities for some of the sites. I think the new owners would need to assess. We are providing, of course, information about what those options might be. But the paper businesses such as they are running, is competitive, as I said. So even if you wouldn’t convert, it has a competitive position in the market. For us, we have other better choices. We see Langerbrugge as one very good opportunity for us to convert that site. That’s why we keep it in the portfolio. And we have other options to invest our finances in our growth agenda in our packaging and in our Lignode development and Wood Products. So that’s why we believe it’s a good move for us to divest our paper business. And then on Lignode, it’s very hard to give any finite time lines. I mean we live in exceptional times now. And we are working as quick as we can with our partners. I’m sure that this turbulence that we have seen here, unless it escalates for some kind of unexpected event in the war situation that we will be able to proceed with discussions with partners. Since there is a strong interest in technology. And also a good support from EU legislation into this area as a strategic material with a local supply interest for many of the partners that we talk with.
Mikael Doepel: Right. And then the follow-up there was on the – where you see the best opportunities currently in the most energy storage.
Annica Bresky: So from a commercialization perspective, the quickest way to the market is handheld tools or smaller electric applications such as computers or smaller type of applications and batteries for that. Then it’s also energy storage systems. For instance, if you want to store renewable energy from wind mills or solar power parks, you can have energy storage on that. And then lastly, automotive industry is, of course, the holy grail. It takes quite some time to qualify often a couple of years to get it into the production lines. So therefore, in order to have a quick kind of commercialization pipeline, we want to have all these three options in play, and we are talking to partners that specialize in those three areas at the same time.
Mikael Doepel: Got it. Very clear. Thank you very much.
Operator: The next question comes from Cole Hathorn, Jefferies. Your line is now open. Please go ahead.
Cole Hathorn: Good afternoon. Thanks for taking my question. Just two on my side. The first one is on the pulp division. I know you called out pulp mill maintenance in Q1, but Q4 also had pulp mill maintenance, I know it was boosted by an additional shipments. But the explanation for the kind of the lower deliveries quarter-on-quarter, fourth quarter 2021 to first quarter 2022. Is that just the boost in shipments? And then that was in the fourth quarter and then a further effect from limited birch pulpwood is the first question. And then the second one is around your guidance. I mean you’ve talked very positively around your order books, the demand trends that you’re seeing I mean that should support looking into the second quarter, a similar level of profitability or potentially better. That’s a big chunk of the earnings delivery. When will we see you kind of rethinking that guidance number, will it be with the second quarter results? Thank you.
Annica Bresky: If we start with the maintenance shuts in Q4, we had – it’s a little bit different how big the shuts are. So in Q4, we had Veracel as a shutdown, but the size of the shut in Montes del Plata has been kind of more extensive. And as said, this quarter, we had to adapt to the product mix in our Finnish pulp mills in order to account for the birch situation. That will normalize. And as you said, one boat and the right end of the quarter makes a big impact from a logistics perspective. So that is what I can say about the pulp side.
Seppo Parvi: Yes. I think, there’s not an extraordinary as such when it comes to production, running the production or demand changes. It’s just typical variations between the quarters.
Annica Bresky: Yes. And then the second question was on the guidance. It’s still early days this year. It is a turbulent environment. We have to take into account that there are risks out there that are extraordinary. So even if, as you say, we see a very solid quarter two and the continued market momentum for our products, I think it’s prudent to have a little bit more visibility before we can come with an updated guidance.
Seppo Parvi: But obviously, we have to follow the regulatory environment and the rules, and it means that if and when we see change compared to what we have been expecting that is obviously when we have to come out. So it doesn’t mean that we wait for Q2. It might be that we don’t change even in Q2 report. It remains to be seen, but we have to react as we get more information on the coming quarters.
Cole Hathorn: Thank you. And then just a third question on the Paper division. A number of the peers have reported a significant step up in the paper division. I mean, you reported good profitability in fourth quarter and you returned to profitability in the first quarter. But is there anything that we should be aware of that’s impacting the first quarter profitability for your paper business?
Annica Bresky: No, I don’t see anything of that kind. We are still kind of running the Sachsen mill, which is a divested mill that we are running kind of selling the paper for the new owner until it can be fully out of our kind of books. We have made renegotiation of all our contracts as to mitigate the price impact. There are no additional costs, I think, restructuring costs anymore. This clean quarter as such.
Seppo Parvi: There’s nothing space. So I think it’s the same drivers as in other divisions that we need to continue to be on top of the things when it comes to increasing our selling prices as and if the inflationary pressures on input costs continues, I think that’s the key thing in any business you’re in today.
Cole Hathorn: Thank you.
Operator: Next question comes from Lars Kjellberg, Crédit Suisse. Your line is now open. Please go ahead.
Lars Kjellberg: Just to have one question on the Oulu potential conversion. We’re seeing from some of your peers, quite significant step-up in CapEx and delays of meaningful projects. So how much inflation can you bear to make this a good project. I mean you called out, of course, quite significant investments, €900 million to €1 billion for this thing. But is that including significant potential cost inflation and the timeline seems to also be quite difficult as we speak, right? But how does that feature in your decision-making in terms of the feasibility study?
Annica Bresky: Well, of course, these are the things that we are looking into the feasibility study and will impact the decision that we will make by the end of the year. And right now, we do not see any showstoppers and we see that the market for the products that we want to produce on Oulu too is growing. It is the fastest growing end-use segment. But all of this, we will need to come back to when we have finalized the feasibility study. So sorry for not being able to answer right now.
Lars Kjellberg: No. as it – don’t. Thank you.
Operator: There are no further questions at this time. I hand back to you speakers.
Annica Bresky: If there are no many – any questions, I thank you all for showing interest and joining us today. And I would just like to take the opportunity to remind you about the Forest session that we have, an information session on our Forest assets, Nordic forest assets on May 10 and also to give you a heads up about our virtual Capital Markets Day, which will take place on September 13, where I look forward to welcome you all back. So with that, thank you very much, and have a good day.
Seppo Parvi: Thank you.